Operator: Thank you for standing by and welcome to the LeddarTech Second Quarter 2025 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. There will not be a question-and-answer session on today's call. I'd now like to turn the call over to Mike Bishop with the company's Investor Relations. You may begin.
Mike Bishop: Thank you and good morning. Today, Frantz Saintellemy, LeddarTech's President and Chief Executive Officer; and Chris Stewart, our Chief Financial Officer, are with me. As a reminder, LeddarTech is an automotive software company that delivers a unified multimodal AI platform software solution that serves the growing market ranging from mainstream Advanced Driver Assistance Systems or ADAS, to full autonomous driving or AD applications. Before we begin, I remind everyone that this call may contain forward-looking statements based on management's current expectations and beliefs. These forward-looking statements are subject to various risks and uncertainties that could cause actual results to differ materially from our expectations and should be considered in conjunction with the cautionary statements contained in our business update release and the company's Form 20-F filed with the SEC. During today's call, management may provide certain information that will constitute non-IFRS financial measures, such as adjusted operating expenses and adjusted EBITDA. Reconciliations to IFRS measures and the additional information are also included in today's business update release available on the company's Investor Relations website at investors.leddartech.com. I will now turn the call over to Frantz.
Frantz Saintellemy: Thanks, Mike and thank you everyone for joining today's call. In the past 6 months, LeddarTech has made remarkable progress in business development, positioning us for sustained commercial success in the rapidly evolving ADAS and autonomous driving markets. At LeddarTech, we are delivering what we believe to be the industry's most advanced, efficient and scalable AI-based perception software for ADAS and autonomous driving. LeddarVision is a high-performance AI-powered multimodal sensor fusion and perception software platform that processes raw data from cameras, radar and LiDAR at the earliest stage, enabling superior accuracy and robustness in even the most challenging driving conditions, transforming how vehicles understand and react to their environment. Unlike traditional approaches that fuse sensor data late in the processing pipeline, we leveraged low-level raw data fusion, giving us a much more contextual, accurate and robust perception. This software-first strategy has allowed us to reduce sensor count and system cost while improving performance, achieve high-resolution 360-degree perception on lower-cost edge processors and to deliver scalable functionality from L2 ADAS to L4 autonomous systems. Importantly, our technology is ready for integration into next-generation ADAS and AD systems. It has been extensively road tested and validated. We've completed over 110 live on-road demonstrations using our LeddarNavigator vehicle fleet showcasing our full stack AI software in real traffic scenarios. We also conducted live demonstrations of production-ready technology at CES in January and the feedback has been overwhelmingly positive. The ultimate validation came in February when we announced that we secured a significant design win with a major commercial trucking OEM. This win marks a pivotal milestone as we transition from validation to commercialization. To clarify, the deal is for a current line of vehicles and work has already begun on integration and productization for the 2028 model year. We are now in the final stages of platform selection with additional OEMs with decisions expected later this year. Our sales pipeline has grown substantially with dozens of active opportunities now representing over $2 billion in potential lifetime revenue, reflecting the strong market demand for our platform. We've conducted roadshows and live demonstrations across Europe and China to build the pipeline and we are closely tracking the design win process. Partnerships remain core to our strategy and are accelerating business development. Let me highlight a couple of key developments with some of our strategic partners. First, Texas Instruments. Our partnership with Texas Instruments signed late last year includes a $10 million in prepaid royalties, reflecting deep confidence in the commercial potential of our platform. We have bundled LeddarVision with TI's TDA processor platform, creating the industry's first open ADAS and AD software plus hardware solution for L2 to L4 applications. And with Arm, we have optimized the LeddarVision for their AE automotive processors integrated with cloud-based software-defined vehicle workflows via SoFi [ph], enabling rapid development and validation. Black Sesame and NVIDIA are another example. Our software is now ported into 5 major SoC suppliers, providing customers with the flexibility to deploy on the platform of their choice. Engineering partnerships with the likes of AVL, FEV and TTTech Auto recently acquired by NXP are extending our reach with tailored integrations and joint development opportunities. These strategic alliances are not just extending our market access, they are driving immediate customer engagements, accelerating design wins and enabling the swift commercialization of our technology, ensuring we meet the growing demand for scalable ADAS solutions across industries. Now I'm excited to announce LeddarSim, our ground-breaking multimodal simulation solution for real-world neural reconstruction of driving scenarios. LeddarSim dramatically reduces the cost and time required for training and validating ADAS and AD systems, a major industry challenge. The cost of data collection and annotation has traditionally been a significant barrier to introduction of more complex new ADAS features and AD functionalities. For example, launching a new L2+ system typically requires collecting and annotating around 5 million frames of real-world data. With LeddarSim, we believe we can achieve the same performance with as little as 1/10 of the road data, reducing costs by nearly 90%. LeddarSim allows developers to leverage a relatively small amount of real-world data to simulate a wide variety of operational design domains. This means we can simulate the multitude of corner cases these systems must be trained on before release to production. Unlike competing solutions that use synthetic data with a gaming engine behind them, LeddarSim uses real-world multisensor data to reconstruct multimodal scenarios with near 0 simulation gap. We developed the LeddarSim to facilitate training and validation for our LeddarVision product line but its productization opens a new multibillion-dollar market, creating a high-margin, scalable SaaS or Software-as-a-Service revenue opportunity for LeddarTech. Beginning today, we're offering free trials and paid evaluation licenses to a select number of early access customers with broad availability expected later this year. The advantages for our customers are clear, reduced data collection, reduced annotation costs and accelerated development time. We believe LeddarSim could act as a catalyst to drive faster progress across the ADAS and AD market spectrum. We've been very active at industry events and trade shows. In addition to CES, at Embedded World and Tech AD Europe, customer interest was extremely high. At Hannover Messe 2025, we've conducted 360-degree virtual reality demonstration, detailed product presentations and customer meetings. These events help demonstrate product readiness and generate valuable customer interaction. With these exciting developments in mind, I'll now hand it over to Chris, who will take us through the financial highlights for the second quarter of 2025, reflecting the strong performance we've seen alongside these innovations.
Christopher Stewart: Thanks, Frantz and good morning everyone. I will provide an overview of our second quarter 2025 financial results and then highlight what we are focused on as we head into the second half of 2025. Note that all dollar figures are Canadian dollars, unless otherwise noted, as this is our functional currency. For the fiscal second quarter ended March 31, 2025, revenue from continuing operations totaled $239,000, up 96% from the $122,000 recorded in the year ago quarter. With LiDAR now excluded, our revenue was primarily derived from nonrecurring engineering or NRE services and paid proof-of-concept projects with LeddarVision customers. For the fiscal second quarter ended March 31, 2025, EBITDA loss was $8.4 million compared to a $14 million loss in the fiscal second quarter of 2024. The lower loss was primarily due to lower stock-based compensation and financing-related expenses, partially offset by higher R&D expense as we are no longer capitalizing a substantial portion of R&D as we were in the prior period. Adjusted EBITDA in Q2 was a loss of $12 million compared to a loss of $8.7 million in the year ago quarter. The higher loss was primarily attributable to higher R&D expense given that we are no longer capitalizing R&D expense. We continue to tightly manage and optimize operating expenses being mindful of our current balance sheet. Net loss from continuing operations for the fiscal second quarter was $16 million compared with a $17 million loss in the fiscal second quarter of 2024. The decreased net loss was primarily due to lower stock-based compensation and financing expenses, offset by the previously mentioned higher R&D expense. Turning to the balance sheet. We ended the quarter with $9.2 million in cash and $105 million in short- and long-term debt. During the quarter, we sold approximately 600,000 shares on our standby equity purchase agreement, raising approximately $1.5 million. Our weighted average share count for the quarter was 37.6 million shares. On April 1, 2025, we announced that we had entered into amendments to both our bridge loan and our Desjardins Credit Facility. Those amendments require that the company produce a plan for refinancing, recapitalizing or other suitable transaction by May 16, 2025. Toward that end, we have engaged a financial adviser to do a comprehensive review of the options that are available to the company. We are currently exploring all alternatives to secure the financing necessary to continue to pursue our strategic goals. Turning now to our outlook for the second half of 2025. We are focused on 3 key objectives. First, we are working to secure the capital we need to strengthen our balance sheet. Second, we are focused on executing on the design-in activities for our announced OEM design win. And third, we will progress our commercial pipeline with the goal of achieving additional design wins this year. Finally, note that we expect to report fiscal third quarter 2025 results for the quarter ended June 30, 2025, in mid-August but will not hold a conference call to discuss those results. Our plan remains to hold conference call updates in conjunction with both our midyear and end of year 2025 results. I will now turn the call over to Frantz for closing comments. Frantz?
Frantz Saintellemy: I would like to thank everyone for joining the call today. In closing, with LeddarSim offering a game-changing solution for training and validation and the growing demand for our LeddarVision, we are excited about the future. We are confident that we are well positioned to lead in the ADAS and autonomous driving space and to continue creating long-term value. Thank you.
Operator: This concludes today's conference call. You may now disconnect.
End of Q&A: